Operator: The conference is now being recorded. Welcome to the conference call regarding the publication of Gerresheimer AG's Q4 Results 2021. At the moment, all participants have been placed on a listen-only mode. The floor will be open for questions following the presentation. Now I hand over to Ms. Carolin Nadilo, Head of Investor Relations at Gerresheimer AG.
Carolin Nadilo: Hello everybody and the [Indiscernible] from my side. Thank you for joining us today to review our fourth quarter and annual results for the financial year '21. With me here [Indiscernible] today are our CEO Dietmar Siemssen, as well as our CFO, Dr. Bernd Metzner. As we did in the last year, we will show a short video highlighting our financial results '21, and afterwards we will as usual show our head of light to accompany the management's notes, followed by our Q&A session. Please note that this call is being webcast live and will be filed on our website too. Before we start, I have to remind you that the presentation and discussions are conducted subject to the disclaimer. We will not read the disclaimer, but propose taken it as read into the records for the purpose of this conference call. Now it is my pleasure to start our video and then turn the call over to Dietmar. Thank you.
Dietmar Siemssen: Welcome everybody, and thanks for taking time for our call. It is interesting that after two years in the pandemic, we still have people that forget to unmute. I hope you that you hear me now. It is an exciting call for us and it is an exciting call as we report Q4, and also full-year results 2021. The record results that we achieved in 2021 mark very important milestone on our transformation journey. We're very proud on our achievements. We are well underway with the transformation of Gerresheimer into a leading provider of healthcare and beauty solutions and drug delivery systems for pharma biotech, and also cosmetics. We are generating great results from this transformation.  Our mission is to innovate for better life. We started this mission three years ago from a well-respected position as a trusted high-tech manufacturing partner for the big pharma. We launched our formula G strategy process in order to accelerate our growth. The aim was and unchanged is to reach us to our focus and benefit from the most attractive opportunities in the healthcare market. The goal, move up the value chain by becoming an innovation leader and provider of High Value Solutions to existing and of course, also to new customers.  We broke up internal silos, identified potential growth areas and invested into these opportunities. The strategy process with considerable organizational and also cultural change within the whole company. Our record results in 2021, show that we are making sustainsive progress, and our investments from recent years start to pay off. We delivered high-single-digit organic revenue growth and grew our adjusted EBITDA despite some challenges this year.  The start of the financial year 2022 has been very successful and we will continue to build on this momentum. We will further accelerate our growth by continuously investing into projects with high returns and we will deliver enhanced shareholder value. Let's take a closer look into the fiscal year 2021. We delivered high single-digit organic growth in our core business. With 7.6% beating our revenue guidance for the year and grew adjusted earnings per share by more than 11%.  Important drivers of our revenue growth were our high value solutions by more than 30% and again, also biologics we grew more than 40%. This is particularly pleasing as these are two key focus areas for our future growth. Cost pressure presented us with some headwinds, but our strong market position and pricing power enabled us to deliver a strong EBITDA performance in line with our guidance range. More importantly, we are guiding now for high single-digit growth in revenues for 2022. We are clearly aiming to outperform the 2021 results.  Also, for the adjusted EBITDA and the adjusted earnings per share, we expect high-single-digit organic growth. On top, we are even more optimistic for our margins into the future. Our achievements in this year reflects the success and the benefits of the measures implemented over the last couple of years and demonstrate how we are positioning our sustainable higher growth rates this year, and also beyond. It has been widespread progress across the businesses with the many initiatives underway based on our formula G strategy process.  I will focus on just a few highlights from 2021. We also proved the resilience of our business model as we successfully managed the significant increase of energy prices and other cost inflations. To build our position as an innovation leader solution for wider and system integrator, clear steps forward were made on strategic partnerships and in the development of own intellectual property. This includes, for example, the new order from a U.S. Biotech company for the development of a new pump based on our own IP. I would explain in a moment, about the focus on own IP products and strategic partnerships mean in practice. Sustainability is one of the main pillars of our strategy, is crucial for me personally, for Gerresheimer as a whole, and of course for our customers. Our ambitious sustainability strategy, as well as the approach for the development of new solutions, as well recognition, recognized industry-wide. Just recently for example, we've owned the AstraZeneca Gold Award for 2021.  On top of that, we also won the Sustainability Hero Award 2021 from the German Society of Quality. Maybe more tangible, also our facilities [Indiscernible] Poland will soon be exclusively using energy from renewable sources, adding into the long list of Gerresheimer facilities that already achieved that level earlier in the execution of our strategy. Another examples, our low planned, we are investing in a new hybrid glass furnace. Absolutely state of the art latest technology in our industry, reducing CO2 emissions by 11,000 tons per year.  On the product side, we are, for example, offering our clients bottles and containers made from ocean-found plastic, which is currently an area of high demand as it helps target pollution and also reduces demand for raw material and energy. In short, the momentum of our transformation is building, and it is now starting to deliver significant results. Our key achievements over the last year, highlights of of which are shown on the left of this page, you see, provide us with strong foundations for '22 and also the years to come.  We will build on our innovations in 2021 to achieve leading position in fast growing markets. I will give you an example from the field of injectables. In 2021, we acquired the intellectual property, the IP, for an auto-injector. This is a cartridge-based auto injector with can be self-administered by the patients. The IP belongs to Gerresheimer enabling us to benefit long-term and with higher margins from its revenues. We expect this Gerresheimer auto-injector to contribute significantly to the growth of our drug delivery system business.  Thus, this is a great example of how we are aligning our business with global mega trends. In this case, the increasing trend for more self-medication, improves convenience and help address the high cost of healthcare deliveries. From regional perspective we're planning to further expand, for example, in China, in India, and in the U.S. We are following the increasing demand for healthcare in emerging markets and another important mega-trend formula G is based on.  We have created a sales organization which serves all our business units in Asia and early results are very promising. We plan to more than double our revenues in China and India until 2024 only. Another trend we're seeing globally; we would call Beauty goes Health. Essentially, this means that beauty product resembles more and more health products including, for example syringes. The demand for these high-end beauty products is significant.  With our existing pharma competence and expertise established over decades, we can provide our clients with the products they need. In other words, use competencies from other areas to build new products as demand comes in. Our aims for 2022 and the years to come are fourfold. 1. To strengthen our leading market position in attractive and high growth markets, such as high-quality vials or syringes. 2. To focus on platforms and solutions to further drive innovation efforts with our customers. For example, here, the Respa Matrix Inhaler and related solutions. 3. We will use our injectable's capabilities to benefit from global mega trends like the examples of the auto-injector or the new own IP pump I gave you a couple of minutes ago.  And forth, we will continuously innovate to reinforce our technology leadership by expanding our engineering capabilities so that we can deliver advanced and more advanced solutions. The clear trend towards more vaccination in the world is a good example of how formula G actually works. That does not primarily mean COVID-19 as we see, vaccination as much broader and stronger. We identified vaccination as an important mega-trend for Gerresheimer very early, and that this has remains intact with strong underlying market growth.  This undoubtedly means rising demand for injectables and thus for the needed applications, like vials or ready-to-fill glass syringes. We significantly increased our production capabilities in the last years and will now benefit. As a result, by end of 2022 Gerresheimer will be the leading producer of vials in the world. As a supplier of critical healthcare infrastructure, we are an essential and mission-critical partner for everyone needing these products.  In particular, the pharma and biotech companies. Expanding our capacities and innovating goes hand-in-hand. We just increased production capabilities in several locations across the world and we keep improving. I'd give you a couple of examples. There are time we are able to reduce the vials in our Gerresheimer, a lead to quality. These vials lead to significant better results in the filling by our customers for vaccines, for instance.  Another strategically truthful growth area will be our ready-to-fill vials. A high-quality solution for our customers that simplifies the filling process and also increases the filling capacity. Ready to fill vials are cleaned and pre -sterilized by Gerresheimer in the new ecologically process and are ready to fulfilling, so that the customer can focus on his core business. This is a good example of how formula G works at its best. Through our close customer relationships, we identified the right growth areas.  We invest in these areas to meet customer demand and we build leadership positions in these markets, and at the same times, we keep innovating. To fully appreciate the importance of this slide. Number 10 year, you really have to go back to the start of our transformation journey. A few years back, Gerresheimer was the fast follow with main expertise in production. We had little our own -- or little of our own intellectual property. Today, we significantly enhanced our capabilities.  Added R&D resources, and built a portfolio of products with Gerresheimer IP. The combination of our core skills and manufacturing processes and industrialization capabilities with the product solution and system integration capabilities are forming a new power of Gerresheimer. We further broaden this with strategic partnerships and also collaborations. As an example, you see here in the right, in the center of the chart, the new Gerresheimer auto injector.  With rich respimetrix, we introduced smart solution for inhalers used by COPD patients. Its core is a patented flow sensor which track every single inhalation maneuver of the patient. These too far unknown insights of visualized in our app for the patient and doctors to draw conclusions from the used inhalation technique and the treatment progression over time. Our solution will clearly support patients in learning and maintaining a proper usage of the inhaler.  Leading to a better life of the patient and lower-cost of the whole healthcare system. We actually expect FDA clearance within 2023. An excellent example of a long-term partnership is the agreement we signed with Midas pharma back in November last year. This combines the complementary strengths of both companies and provides us with excess to a growing number of global pharma customers already in a very early phase of the drug and formulation development.  Besides that, we secured an important order from a large U.S. biotech company. We've developed a new pump for the administration of a leading rare disease drug using proven pump technology from Gerresheimer. This order is actually another proof point for our own IP innovation power. We are continuously enhancing our existing product portfolio towards more own IP solutions. With that, we are further strengthening our position as an original equipment manufacturing and OEM.  The Gerresheimer Advanced Technology division is in new class for innovation at our company. It is an integral part of our growth strategy and contributes to our vision of innovating for a better life. As you can see, many of our developments from -- come from Advanced Technology. And we are delivering much more. We have existing projects like the pockets and pump. With that we are using forever, the Petra pump developed for SQ Innovation. The new pump I just spoke about developed for the new biotech customer.  The newest sensor pump for large molecules, respimetrix, as spoke about this a minute ago. And of course, also the new Gerresheimer Autoinjector. These examples are important examples, marking [Indiscernible] milestones in the development of Advanced Technologies. We are valuating further projects as we talk alongside different disease areas. We will develop further solutions in order to improve the patients’ lives and to reduce global healthcare cost. Our solutions and platforms will play an important role in the evolution of digitalhealthcare.  We are stepping into new digital business models, developed intelligent, smart devices, where data and connected cloud services will be even more important as the medication they deliver. Before I hand over to Bernd, let me briefly summarize. 2021 was an important and crucial year for Gerresheimer. We have moved forward significantly, delivering record results, but also very successful, field the order books, and with this, laying the clear foundation for sustainable profitable growth for the next years.  With unchanged dynamic, we are further executing on our strategy process formula G. I'm excited about our progress, what we have done and will do for our customers in the future, with a clear goal of creating a better life for patients. If you take away just one point from my remarks, it is this. The dynamic and the momentum of activity across our businesses give us the confidence in our actions to continue deliver higher growth, profitability, and sustainability. Bernd, with this, the floor is yours. Thank you.
Bernd Metzner: Thank you, Dietmar, and welcome everybody also from my side. Without further due, let's dive into the analysis of the key financial for the fourth quarter 2021. Reported revenue increased from €403 million in Q4 2020, by €33 million to €436 million in Q4 2021. The strong organic revenue growth amounted to 7.8%. Organic growth in the core business was even stronger at 9.3%. The high revenue growth is a strong accomplishment, even taking into account the tailwind of approximately 2.5% to 3% points from inflationary effect. Now, let's turn to earnings.  The adjusted EBITDA at group level amounted to €95 million in Q4, while in our core business, it was a €100 million. We therefore arrived at €324 million for full-year 2021 within the guidance range of €320 million to €335 million. What's this shows is that we have an excellent market and contractual position to manage unforeseen input cost increases. The Q4 organic adjusted EBITDA margin of 23.1% in our core business was below prior year. Why? Because of the headwinds from increasing energy costs, as well as a certain delay of some weeks in the pass-through of increasing raw material prices. These effects are temporary.  And this is a purely transitory effect, which hides the underlying margin performance. Disregarding the temporary headwinds mentioned before, we should have shown a margin in line with last year's level. I will zoom into the margin details later. Let's move to the bottom line. The organic adjusted EPS increased from €1.31 to €1.34 representing an increase of 2.3%. Looking at the financial year 2021, the organic growth rate amounted to 11.2% in line with our full year 2021 guidance. Before we come to the divisional performance, I would like to zoom into our adjusted Q4 EBITDA margin for the core business.  We are in an excellent position to counteract inflationary pressures. In Q4, we were again able to largely pass on the increase in resume prices to our customers on short notice. However, while our revenues benefit from this pass-through effect, it comes with almost no adjusted EBITDA contribution. This effect technically dilutes the adjusted EBITDA margin by approximately 60 basis points in Q4. In particular, to further rises in energy costs combined with the delay of a few weeks in fully passing through higher rising prices together impacted our adjusted EBITDA by approximately €10 million.  This regarding this temporary effects, the adjusted EBITDA margin would have been approximately 2.4 percentage points higher. So on a pro - forma basis, we would have achieved an adjusted EBITDA margin of 26.1%, the same level as in Q4, 2021. Growth's repeating. Good news and very important is that these headwinds are just temporary for us. Already in Q1 2022, we will demonstrate there's an adjusted EBITDA growth of more than 10% that we are able to pass on higher prices sustainableto our customers. Therefore, Q1 will be a strong proof point for showing higher pricing power based on our strong market positions. Even more important, we are adequately hitched against higher energy costs for the future quarters, but also for the years to come. Now, let's have a closer look into the divisions. Plastic and devices. Revenues in Q4 increased from €219 million in Q4 2022 by €22 million to €241 million in Q4 2021. We delivered organic revenue growth of 9.9%.  Our top-line growth was supported by pass-through effect from increasing raw material prices of over €10 million. Let's have a look at the moving parts within the plastic and devices division. Four observations, first, the demand for RTF syringes was persistently high. RTF syringes showed solid high-single digit revenue growth. We are continuously ramping up new capacity, which will fully kick in from full year 2022 onwards. Second, the contract manufacturing business reached a strong double-digit revenue growth in the fourth quarter.  Third, primary plastic packaging contributed to growth, thanks to strong demand in Europe and Brazil. And last but not least, for us, central benefited from a seasonally strong year end quarter. A good accomplishment. Turning to the organic adjusted EBITDA of €67 million, which developed as expected, two comments. First, the pass-through of higher resin prices comes with a certain time lapse of some weeks, which impacted the EBITDA by a couple of million euros in Q4.  Second, we had a slight plan shift in product mix against the high comparable basis. On the back of this, the adjusted EBITDA declined somewhat to €67 million in Q4, 2021. Good news, we will offset those effects and should see a strong rebound supported by double-digit top and bottom line growth in Q1. This is not surprising given the excellent pricing power of our plastics and device division and the strength of our order book. Now, the primary packaging last. The primary packaging last division showed a very strong final quarter, there's high-single digit organic revenue growth.  Revenues increased from €179 million in Q4 of 2020, by €17 million to €196 million in Q4 2021. So we grew strongly showing an organic increase of 8.6% despite very high comps of 9.1% in Q4 2020. The tubular glass business once more benefited from high demand in High Value Solutions. Our High Value Solutions again showed a double-digit percentage increase in Q4 2021, which was mainly driven by Biological Solutions, [Indiscernible] and [Indiscernible] The adjusted EBITDA increased from €38 million by €5 million to €43 million in Q4 2021.  Organic adjusted EBITDA growth searched by a strong 12.3% year-over-year. This is the second consecutive quarter for PPG to post double-digit adjusted EBITDA growth supported by positive product mix and price increases. As a result, the organic adjusted EBITDA margin improved by 70 basis points from 21.5% to 22.2%. Now, let's turn to Advanced Technology. Revenues amounted to €3 million in Q4, 2021. The adjusted EBITDA developed comparable to prior year. For full-year 2021, we saw an adjusted EBITDA contribution of minus €50 million, the same magnitude as in full year 2020. There's an increasing focus on R&D.  We expect the comparable adjusted EBITDA outcome for full year 2022. More important are the excellent prospects. In 2021, Advanced Technology had a successful year. [Indiscernible] is becoming increasingly relevant and will be included within our group guidance going forward. We will continue to establish Gerresheimer as an innovative, original equipment manufacturer, for smart and connected devices in the healthcare industry. The great progress of Advanced Technology has been proven by new orders, new competencies, and new projects.  Advanced Technology underlined its innovation power and they clearly contribute to our growth and margin acceleration. Let's turn to the cash flow. We delivered on our promise. During our analyst call for Q3 2021, we indicated that we expect a strong fourth quarter and the outcome was in line with our forecast. In Q4, we generated a strong free cash flow contribution of €61 million and showed a strong networking capital improvement. The net working capital contribution was €19 million higher compared to last year.  Important comment on our CapEx program. We are focused and consequently directing our investments into unique growth opportunities. We are investing to take advantage of the global mega trends that support our business and our profitable growth path. For example, we are investing into capacity extension for injectables and building up the capacity to accommodate the announced attractive autoinjector contract. In numbers for FY 2021, we invested net cash of €194 million or 13.0% of our revenues, almost €70 million.  So 35% to 40% went into the gross market of injectables, wires, syringes, and cartridges. More than €30 million went into contract manufacturing assets with a very attractive risk return profile. Now, a forward-looking statement. Depending on the execution of our investment program for profitable growth, we also expect a positive free cash flow in 2022, and we'll start to significantly deleverage in the last quarter of 2023. For the purpose of completeness, the slide shows the underlying performance for the financial year 2021.  We were able to beat our full year 2021 guidance of mid-single digit organic revenue growth. We arrived at 7.6% organic growth for the core business. Even excluding inflation support of around two percentage points we still showed a strong acceleration of revenue growth. This represents our highest growth rate in many years. This clearly proves that we are moving into the right direction to achieve our mid and long-term ambitions profitably and sustainably. The underlying organic adjusted EBITDA for the core business amounted to €324 million, and so what was seen within our guided absolute range.  First repeating. This is a clear proof point for the resilience of our business model. Let me also briefly comment on our EBITDA adjustments of €19 million. First, the bike of this is linked to COVID-19. Second, these are one-time effect, which are not part of the ordinary course of business and will not repeat. It is already indicated during our last call; we foresee significant lower exceptional is going forward. Looking isolated at Q4 2021, we almost half our exceptional to €4 million from €7 million in Q4 2020. This trend will continue in 2022. For example, we should not see COVID-19 expenses as adjustment anymore. Let's have a look at our tax performance.  The adjusted tax rates dropped to 27.3% and represents a decline of all around three percentage points from 30.3% last year. This is a good step forward towards our midterm tax rate target of 25%. Finally, the organic adjusted EPS amounted to 4.27 up 11.2% compared to prior year as promised and guided. Let me conclude by sharing some key points on 2022 to date. In full year 2021, we achieved record revenues with a strong acceleration in sales momentum and good earnings progress. Based on that, the management board and supervisory board, a proposing a dividend of €1.25 per share for full-year 2021.  Again, resulting in a payout ratio of around 30%, and so it is a high end of the dividend payout policy range of 20% to 30%. Together there's our Q1 reporting we will put a particular emphasis on elaborating on our growth investments projects. We will demonstrate that we are investing in the right markets and products to support further growth acceleration and margin expansion. Looking at the current fiscal year. We've made an excellent start to the year and expect double-digit organic revenue and adjusted EBITDA growth in Q1. This is very positive trading update on Q1. I now hand back to Dietmar. Dietmar?
Dietmar Siemssen: Thank you, Bernd. A lot of figures you disclosed here. In the final part of our presentation, I would like to give you a better understanding of the short-term growth drivers that gives us actually the confidence into our strong forward-looking guidance. The underlying global mega trends for our business are clearly driving the demand for Gerresheimer solutions. The way we are transforming Gerresheimer enabled us to catch these waves. It demonstrated an exceptional business performance in 2021. A strong start in 2022, as well as a strong momentum for the months and I hope most of the years to come.  From what we see in our current business, the core growth drivers for 2022 are the following; the bulk of revenue growth will come from High Value Solutions, the invest of the last years pays off, all business segments, actually contribute. We touched on a number of examples in thispresentation, like for example, our high-quality elite, are also ready to fill vials. Two other important drivers will be Beauty Goes Health, and our regional expansion. As discussed in the Beauty Goes Health trend will make use of our pharma expertise to server our customers with higher value beauty solutions. We are already seeing an increasing demand from our customers as we talk.  Regionally, I spoke about the expansions in many geographies. We discussed China and India but also we see Mexico and most Europe -- Eastern Europe, excuse me. Last not least, our contract manufacturing business is in high demand. We clearly see the effect of pharma companies and others pushing an increasing portion of the value chain to solution and systems to providers like us. An increasing demand has given us a strong start to into 2022 with regards to both organic revenue growth and adjusted EBITDA. This reinforces our confidence in our growth prospects and we are raising our mid-term guidance. We have positioned Gerresheimer for another record year and expect high-single-digit growth in 2022 for the group in revenues, the adjusted EBITDA, as well as earnings per share. Important to notice that this is not a one-off. We expect to see continued strong revenues growth, also in the midterm. The progress of the recent bonds also gives us more confidence for the margin development.  Now we are expecting in the medium-term an adjusted EBITDA margin of 23% up to 25%. Now, 2021 showed the fruits of our transformation. We delivered according to plan, and it was not an easy year every day. We established a strong order pipeline and accelerated on High Value Solutions. We kept the momentum relentlessly going. Accelerate with the implemented measures.  We will further accelerate in the growth in 2022. Execute. Consequently, execute on our strategy formula G, as well as on our investment plans. Innovate. We will increase R&D capabilities to further speed up innovation. For 2022, we expect another record year. We're clearly aiming to exceed and outperform the achievements in 2021. Thank you so much.
Operator: Thank you Dietmar and Bernd for your presentation. So let's enter into our Q&A session. The lines are now open for your questions [Operator Instructions]. The first question comes from [Indiscernible]. Hi [Indiscernible].
Unidentified Analyst: Hi everyone. Thank you for taking my questions, I would have three, please. The first one is on your guidance for 2022 and specifically on the adjusted EBITDA margin. So your guidance obviously doesn't imply very much margin expansion in 2022. I was just wondering what the reasons are for that, given that it sounded like you can already pass on a good portion of this price increases to your customers.  Then my second question is on your medium-term guidance. It would be interesting to hear why you decided to include your Advanced Technologies business, again, at this point in time, before any of the more meaningful products have made it to the market. That would be interesting. Thirdly, on CAPEX can you provide us an indication for what we should assume for 2022 and also over the medium-term. Thank you.
Dietmar Siemssen: It takes the first one. Thanks a lot. [Indiscernible] regarding the CapEx expansion, and as you can imagine we elaborated a long time about how to frame our guidance in this respect. First of all, we thought it is not in this environment, we don't know how the resin prices develop. We said, okay, it is better to go for on absolute target or a gross target as far as the EBITDA is concerned. And then you said the grow high-single digit. And it is relatively conservative, our guidance, but as you know, we want to basically beat our guidance.  That's our perspective on it, but we should also consider that you have -- we also want to -- as you know, we building up in capacities and you have something like launch costs, which we treat as ordinary expenses, especially we are building up the capacities for device for the syringes and here and there you have additional expenses here and there and therefore we said okay, let's be on the safe side and just make a statements that we're growing high-single digit, organically have a growth in this respectful EBITDA just to be on the safe side. This was actually our perspective on it. Finally, we start into a year.
Bernd Metzner: Yeah, I can take the other two questions. Yeah, mid-term guidance including Advanced Technology, I think it is a very logical step. I think we have to raise this point in different way. Why did we actually start to exclude it a couple of years? After acquisition of Sensile (ph), the truth of the beginning phase was very rough. We lost a couple of contracts and we didn't know how we could really be able to proceed with this business. This main vial has changed significantly.  The old Sensile (ph), if you might say so, is now grown up to what we really call Advanced Technology with a broad variety of different own IP products and with a nucleus of development of future digital and smart devices. What you clearly see now is that the confidence into the business has significantly grown. It is more evident now, it is clear. We have in '22, we will have key products in major development phases. Some of them with our customers in the FDA approval process and they might even receive FDA approval in '22, '23.  The same, we will have the new customer project fully ongoing. We will have expansion of the project of EVER Pharma. We will have this SQ Innovation Project coming now to finalization and in terms of the FDA and also risk per metric, we should not forget that we are planning to file this into the FDA within 2022. So the business is now let me quarter completed normal portion of the Gerresheimer business driving not only the innovation part, but also the growth and revenue contribution of the next years.  That's why it is a very logic step to bring it into the loop now. And the CapEx indication for '22 is relatively easy because I always guide this 4% plus growth. So in the end, as we are aiming for high-single-digit growth, and we are clearly aiming for outperforming the performance reached in 2021. That's in principle, you can expect it will be in a similar ballpark compared to in '21. It is all in the outer years where we clearly -- will have the positive impacts of CapEx 75 as we call the project, where the -- what we call CapEx to growth ratio will reach better figures because that's clearly the plan. I hope this answers your question.
Unidentified Analyst: Yeah. Very helpful. Thank you.
Operator: Next question comes from Veronika Dubajova from Goldman Sachs. Hi, Veronika, please go ahead.
Veronika Dubajova: Excellent. Thanks, Carolin. Hi, Dietmar and Bernd and thank you for taking my questions. One, I want to just push a little bit on the '22 guidance and maybe just start with a question on energy prices. I think it be great if you guys could remind us what was roughly the headwind that you observed in 2021 that you could not compensate for? Now that you have better visibility of pricing as you move into 2022, what proportion of that EBITDA lost you expect to offset this year that would be very helpful?  Then my second question, Bernd is on the free cash flow comment that I think you made. Obviously, great to hear the free cash flow will be positive. I think many of us are hoping for some growth in free cash flow. Can you be any more precise of where you would expect the free cash flow to end for 2022? And I know there is this old target of about a €100 million of free cash flow that you guys had talked about in the past. I think we've all forgotten about it, but just curious if you have a view on when you might be able to get to the $100 million of free cash flow If you're willing to put a time frame on it. Thank you.
Dietmar Siemssen: I can start with the first and then I hand over to Bernd and the detail. I think it is important. We had, in principle, last year couple of cost inflations. Resin prices, packaging, whatever sad stories, and of course, also the energy. There are two areas that we learned in 2021. Most of these areas, you can push through to the customers and we very successfully did this. For the energy prices which primarily hits the glass industry, there has quite some delay in the time when you have the effect and you can push these prices through because that's a very conservative industry that is usually not used to it.  We still, very successfully, were finally able to push through with the prices in over the loop of '22. And a lot of the effects or some of the effects you actually see in the books now is price increases in glass that are only valid in from principal this January. So for the future, you can say the following things. Clear learning from '21, if there is price inflation in classic costs, resin material, packaging material and so on, we are successfully able to approach just through to the customer.  For the energy prices, and I think this is also a very positive story, we have on the one side adjusted to prices, and not only for '22, but also for the next years we have not hedged the energy price risk out. So I don't expect any major cost inflation actually that we will not be able to push forth to the customer in '22. I'll just end it here and I'll hand over to Bernd with all the details of the other topics.
Bernd Metzner: I believe I would take the second question regarding the free cash flow and status. For first part what precisely you think for 2022. In the end, do you think it will be positive? It depends somehow of the execution of the investments as our viz-a-vie, really get our CapEx program executed in which speed to get this done and how much subsidies we actually get is also a piece -- is a small piece, but probably a little bit answering it will be definitely above free cash flow of -- this would be basically a positive territory for 2022 considering as well more worst cases on the first topic just mentioned.  So we are really on the safe side. Second, you asked when we expect to get the first-time our free cash flow above €100 million and starting mid of next year 2023, end of 2023, we should really start seeing significant deleveraging effects coming out of our business. And our plan is that in 2024, we have more than a 100 million -- by far more than a 100 million free cash flow. That's our plan going forward.
Veronika Dubajova: Thank you. Remind me on the energy crisis. I think -- and Dietmar, thank you for all the color. Bernd, I think there is -- was it €18 million that you could not compensate this year? Would you expect all of that to be offset through pricing increases or is some of this offset in '22 and some in '23?
Bernd Metzner: It is difficult to say but if you really think that the major junk is compensated in 2022, that's a lot ideal. During the course of see -- of the fiscal year 2022 and we really make excellent progress there and it looks pretty well.
Veronika Dubajova: Excellent. Thank you. I have some more questions, but I'll let other folks ask and then come back into the queue. Thank you.
Operator: Next question comes from Unidentified Analyst. Hi.
Unidentified Analyst: Thanks very much for taking my question. Also three questions on May. Firstly, if still may push you a bit on the page again, because it is touched on important topic, can you just talk about what kind of pressure do you see for personal cost inflation, also freight costs? And I think in the annual report, you talked about that obviously public silicon chip supplies are based on fixed-term contracts as those so far, you've not seen any pressure there. Is that an area where your suppliers also could come back to you and actually push you on the input from managing costs?  That would be question number one. The second in terms of gas on Advanced Technologies, the department obviously seems to be filling up, which is great to see. And so when you now include guts in your mid-term guidance, can you just give us any -- and the inclusion of it based on your budget forecast, what margin support have you seen come including it in this mid-term guidance?  And also, can you give us any kind of color -- there was obviously a mixed development on different project, on which of the project you've talked about, you have the highest visibility that this is coming through? And the certain last question just in terms of housekeeping, can you just provide us any kind of color on clean depreciation which came down in 2021, what growth we should assume, and any kind of color on the tax rate for 2022, please?
Dietmar Siemssen: Bernd, the fourth question is definitely for you.
Bernd Metzner: Thank you.
Dietmar Siemssen: Okay. I take the first one. One more time to the inflation. I don't expect impacts in the inflation in '22 that will have major impact in -- that we either are not able to push through or we have not hedged for. And packaging, transport, and so on, inflation will be handled accordingly. If they come, we will push them through to our customer, which will be, again, like we show in '21, a tailwind in sales. If even we suspect that certain price areas go down, that we will also see and that will drive EBIT up. For the energy as I said before, we are clearly hedged and that gives us very stable and safe situation. Advanced Technology -- I don't know what to read, what you wrote down. You were asking about the projects, one of the things?
Unidentified Analyst: Maybe two more questions. First, what margin benefit have you seen the guidance from including it, and then on original this kind of project, do you have the highest confidence?
Bernd Metzner: You saw that we increased the mid-term guidance by roughly little bit 2% from 23 -- in the ballpark of 25. I would say half of this additional increase come from margins of the products mid-term. If you look in the longer run, the margins, becomes stronger because the margin contribution from the Advanced Technology will be stronger as sales goes up. Maybe you see the sales from '23 on and even stronger in '24 and following. That is probably also fit to your other question.  What are the most promising projects or what is the most promising project. I think this is not the right question anymore that's because they're the likelihood that several of these projects actually are coming. I'm talking the SQ Innovation very high or it will come. And also the new customer, American Biotech and important of this project, I think I tried to mention it in the last quarterly results, when we indicated this contract. If you win the contract for a new pump development today, it usually takes four, five years before you successfully see the sales.  That is different in this case. We're now talking a project where we see the sales significantly earlier and the contribution of this project significantly early because this customer had quite some pressure on the timeline that's why we are using approved pump technology and are doing an application development for the need of this customer, that's what we work on.
Dietmar Siemssen: Now all even know, the call to your tax question, we expect 27 as of for 2022, the plan was 27% tax rate, and that's basically our own internal plan. And regarding our depreciation, we had a clean depreciation of €104 million and we expecting that this is increasing by around 10 percentage points. Just to translate this -- your question regarding [Indiscernible] mid-term profitability target into your model, but is very important, we are convinced about the positive outcome of [Indiscernible] positive contribution mentioned by Dietmar. But even out any contributions of [Indiscernible], we would achieve as our core business, our 23% to 25% EBITDA margin. That's also important to realize. Thanks so much.
Operator: Alright. Next question comes from [Indiscernible]
Sven Crude: Thanks for taking my questions. The first one is on the trends capacity expansions. In fact, you mentioned already that you will give some comments on that in April, but maybe you can really tell us of how much you plan to spend on the different areas? Also to what extent those expenses will be benefited to the market share? Do you think you can significantly grow your market share by expanding producing while staying the same and you're just expanding in line with market growth? So some comment on that would be helpful.  The second question is on the High Value Solutions and obviously there's a lot of demand especially from biologics coming in, and so products absolutely mission-critical for the biopharma companies. Could you confirm, there's a lot more pricing profile for Gerresheimer, and High Value Solutions compared to the rest of your product portfolio? Thank you.
Dietmar Siemssen: The capacity expansion. What's this -- you spoke about the syringes or vials?
Sven Crude: Both. I think you gave a running a split of syringe and vials of 2021 or maybe going forward, what do you expect in those areas and also of this contract manufacturing? I suggest a little overview over your CapEx plans. A bit more detail over here, please.
Dietmar Siemssen: The vials we are -- because you asked about the market share, in the vials, we are clearly increasing our market share. But in a very fast-growing market, as you indicated in the right way, the global demand for also classic policy [Indiscernible] but also high value vials is significantly growing. But we're still seeing that we are winning market share at the moment, especially with, and that comes to the other questions. Also with High Value Solutions, which means also elite glass vials, for example, where we are growing very successfully.  The syringes is also the world demand significantly growing and even if you consider the fact that we more than doubled our capacities over the loop of the next years, we will, in principle, only maintain our worldwide market share because the world demand is increasing so strongly. Coming to the pricing pressure in the High Value Solutions products, I would not necessarily only call this pricing power that we have. These price -- these products are significantly higher priced and I think this, this is important because you have much bigger portion of the value chain in the product.  Of course it does a different ballpark of price, and as such, leading to higher sales. And they are growing strongly. We also grew strongly with High Value Solutions by 30% last year and I don't see a reason why we would not proceed to grow strongly like this with these High Value Solutions also in the years to come.
Sven Crude: Okay. Thank you.
Operator: Next question comes from Chris Gretler from Credit Suisse. Hi, Chris.
Chris Gretler: Hi, Carolin. Hi, Dietmar. [Indiscernible] few questions left in. First, I noticed in your annual report that in our saving Germany dropped by 9%. Could you give us some insight into that?
Chris Gretler: It is disclosed on page 11 and also maybe it is just not kind of, enough. Their customers are booked, you know, but it is still very noteworthy I think.
Dietmar Siemssen: Probably it is -- I have to come back on this again, but probably it is because we had, as you might remember, in a lower replacement. It was basically -- probably the replacement of our furnace there could happen -- have an impact also in the States and Germany, and -- most likely. We don't look at the countries alone, but it might also be somewhere of the relocation that we are doing with some of the businesses, a regional relocation.
Chris Gretler: Okay. Maybe I'll come back to that. The other --
Dietmar Siemssen: Separate to this one?
Chris Gretler: Yes. I mean, just your whole markets and I guess this --
Dietmar Siemssen: As the business go -- as the business goes globally, on the business unit side, and not on our list. Just to give this on a legal basis in which countries we have it. So therefore, and before we're seeing something wrong, it is better to look into the details. Thanks for the question.
Chris Gretler: The other question I have was on the price pass-through effects that there will certain to be an annualization effect in '22. Could you discuss how much that is likely to be at current rates, and maybe if that's included in the guidance at all on top and bottom line?
Dietmar Siemssen: I can take the first part. The price pass-through effect is -- we take the key drivers again. The resin materials, where you have -- meanwhile in most of the contract clauses, whether they are adjusted. So if they go -- the resin material goes up, the prices go up automatically. This, of course gives you a nice tailwind in the top-line, but this also have -- has a certain margin effect on the bottom line because, of course, for the price adjustments, you don't get any margins.  So this is included -- I actually do not expect corrections. The reason is because we don't see the resin prices at the moment going down much. If it would come it is also fine. For the glass, it is different. I spoke about the fact that there is a short delay in pushing the prices sold to the customer's, but on the other side, these price adjustments are actually sustainable and we don't see these prices to be adjusted in a inflation topic as we talk.
Chris Gretler: Okay.
Dietmar Siemssen: Come back to the question, is anything included in the budget? It is plans as it is, and that's what we will deliver if there would be in price inflation effect, which I don't see it would come on top properly.
Chris Gretler: Okay. And then just -- I think now you mentioned that, you're quite optimistic about in our Q1 and I think that was probably candidate off some push through from Q4 into Q1. And I think you mentioned double-digit growth, potentially for Q1 is what would then slowdown in the second half of the year to make your full-year guidance high-single-digit.
Dietmar Siemssen: We started very strong into the year. That's true. That's -- maybe not to disclosing too early, but that you can expect double-digit because we are stable double-digit in the first quarter. Actually, not all of this is price effects. Yes, for the glass, as I indicated before, some of the price increases are only valid from the beginning of the year. But as a matter of fact, a lot of the growth is actually coming from high value products end and end. In principle, you see this in the fourth quarter already. We just kept the momentum over into the first quarter and I don't expect that this will soften over the loop of the year. We should not forget usually; the first quarter is not the strongest in Gerresheimer.
Chris Gretler: Sure. Okay. Thank you. Appreciate the comments.
Operator: Now, I see Craig McDowell from rep -- JPMorgan. Hi, Craig. Please go ahead.
Craig McDowell: Good afternoon, everyone. Thanks for taking the questions, just two please. On the fiscal '22 revenue guidance, I was hoping you could clarify on what the implication is for the core business? You previously said the core business will grow by a single-digit in '22, excluding pass-through pricing, which is a point or two this year. You're now adding SensAir or gas, which might have another point potentially to group this year? Is the implication that the core is anything to grow mid-single-digit this year?  Then secondly, the second one just on the cash flow and customer in the quarter. It seems like there was quite a significant move in trade payables in Q4. What was the cause of that? Can you expand? How should we think about that finding in fiscal '22? Thank you.
Dietmar Siemssen: Thank you for your questions. And indeed, for the guidance now, as well as the core business, this August out cut is basically growing high-single digit regarding EBITDA. That's basically our plan going forward, and especially also you will see this nicely and you start into the year, is even at double-digit growth, especially for plastic and devices, and higher than doubled, also more than 10% for plastic and devices and PPG. And respectively, regarding the cash flow, the reason is, it is quite interesting. If you look, the inventory increased because of the higher prices.  What you have there, there's raw materials and so on, your building is up and the same time, you're also actually increasing your payables because you actually pay -- in the end of the day, more for the raw materials, but your pace is in the regular time of 60 days, or 50 days, or something like this. So actually, that's the reason. It is basically just the consequence out of the inflation if you want. So that you have also higher payables. What does it mean for Q1? I mean, obviously, as you know our cash patterns set in Q1, you will have maybe a little bit release in terms for the payables. So it will probably go down, but we expect also that we have a little bit release for inventories. I also hear the values might go down in the next couple of weeks and months.
Bernd Metzner: I have actually one remark for the question of the Credit Suisse, why the sales in Germany 's actually -- because we are rebuilding the [Indiscernible] facility and prepare them for -- from ampules into the direction of vials and we are rebuilding the facility because we are now having several lines for Elite Glass. We're refinancing [Indiscernible], actually, we of course stopped the deliveries of the ampules. So I'm glad that we finally have the information. Thank you so much. Hope that also helps you. [Indiscernible] the answers to your two questions. I hope it answers them.
Operator: All right. Next one of Daniel Vendor for Auto BHF. Hello, Daniel.
Daniel Vendor: Good afternoon, everyone and thanks for taking my questions. The first one is on the margin trajectory to what's your midterm margin guidance looking beyond 2022. How should we think about this over to be more step approach? Would it be more linear one also taking a closer look at gaps in that regard? And second question would be when you just look at your plastics and devices and primary packaging glass divisions, how should margin development look there going or growing into your midterm margin guidance? Any more color that would be helpful. And my last question is High Value Solutions, how much of revenues do they need while contribute? Thank you.
Dietmar Siemssen: Maybe just start with your first question Daniel, regarding the margin step-up. Basically we see that each year we will improve the EBITDA margin from today. So maybe we make the biggest jump in from 2022 to 2023. But overall it will basically obviously increase with a 100 pips, something like this, maybe higher even in 2022 to 2023. Then you have a step-by-step approach and this is reflected in the core business. So this is something that we see, coming out of the core business, and then the contribution from cuts to come on top, if you want. Because as I mentioned already before, some margin as such, I mean, we are -- as successful with our projects. Then as the margin is definitely very accretive to our existing margin then of 24, 25 percentage points, that would be basically accretive sale. That is our answer for the question regarding the margin development.
Operator: All right. Are you're finished?
Dietmar Siemssen: Yeah.
Operator: Veronica, I can see you in the line. Do you want to ask a further question?
Veronika Dubajova: Yes, thanks. Thanks, Carolin. Two if I can. One, I want to follow up, Bernd I think you said that 23% to 25% margin, we'd expect also to see that in the core. I guess my other saving this morning was that the midterm margin change was because of the inclusion of GAAP, not necessarily because your assumptions have changed for the base business. So just curious if indeed your assumptions for the core or base or whatever I seem to call it, have changed and these become more constructive on margins? And I guess why is that especially given that we've seen margins compress since you've given them mid-term guidance not increase? So that's my first question. And then my second question is for gas. I don't know, Dietmar, if you can talk to how we should think about this undisclosed biotech contract in terms of what you think the revenue potential is once that product becomes commercial. And I guess what's the risk that this is not successful, I guess how would you assess the visibility that you have on this progressing coming to market and you being able to get those revenues?
Bernd Metzner: Maybe just to take your first question, Veronika, regarding why we raised our guidance mid-term. The thing is we have a much better visibility now in our core business. And this is one of the drivers because we see that we have seen new orders for our contract manufacturing and therefore, you have already security for the next couple of years. And we see also that our high-value solution products are also working on how to sell more. And then they have more demand in what we originally planned and you know the margins also here are quite accretive and therefore beside okay. And we can be a little bit more bold and go from the comfort zone as a 23% to 25%. And again, this could be due, this -- in our core business, if you include cut, it could be even better since this kind of margin return. And then I take the second one. The new American biotech company, there -- as I indicated before, there's quite some time pressure on this project, which is in principle very good. We are not developing a complete new pump, but be using a proven pump technology and adjust -- primarily adjusting applicati -- the development for this customer application. That's the point. That's why the sales is actually not coming in '26 and following, we actually will see sales already in 24. And yes, it is a sustainable project where you can expect sales in the ballpark, maybe not from the very first year on, but very -- ramping up, very steep the ballpark of $50 million plus $5,290 million over time.
Veronika Dubajova: Okay. That's --
Bernd Metzner: Its -- I'm not talking a small tiny project, it is a project.
Veronika Dubajova: Of course. What would be the margin that you'd be earning on that? I guess you're north of 30%, is that fair?
Bernd Metzner: It is -- yes.
Veronika Dubajova: Okay.
Bernd Metzner: It is very profitable, interesting project as all of the projects that we are working on with own IP products are in a different ballpark of profitability. As we're not only having the classic margin, but also regaining our -- with license fees, etc., regaining our intellectual proper and development costs.
Veronika Dubajova: Okay. That's very helpful. Thank you.
Operator: Hey do you have a further question? I can see on the line.
Dietmar Siemssen: [Indiscernible]
Operator: All right. As there are no further questions, thank you very much everybody for participating. We wish you all the best. Stay healthy, and we'll talk to you soon. Bye-bye.
Carolin Nadilo: Ladies and gentlemen. Thank you for your attendance. This call has been concluded. You may disconnect.